Operator: Ladies and gentlemen, thank you for standing by. Welcome to Copa Holdings' Second Quarter Earnings Call. [Operator Instructions] As a reminder, this call is being webcast and recorded on August 10, 2023. I will now turn the conference over to Daniel Tapia, Director of Investor Relations. Sir, you may go ahead.
Daniel Tapia: Thank you, James, and welcome everyone to our second quarter earnings call. Joining us today are Pedro Heilbron, CEO of Copa Holdings; and Jose Montero, our CFO. First, Pedro will start by going over our second quarter highlights, followed by Jose, who will discuss our financial results. Immediately after we will open the call for questions from analysts. Copa Holdings financial reports have been prepared in accordance with International Financial Reporting Standards. In today's call, we will discuss non-IFRS financial measures. A reconciliation of the non-IFRS to IFRS financial measures can be found in our earnings release, which has been posted on the company's website copaair.com. Our discussion today will also contain forward-looking statements, not limited to historical facts that reflect the company's current beliefs, expectations, and/or intentions regarding future events and results. These forward-looking statements involve risks and uncertainties that could cause actual results to differ materially and are based on assumptions subject to change. Many of these are discussed in our annual report filed with the SEC. Now I'd like to turn the call over to our CEO, Mr. Pedro Heilbron.
Pedro Heilbron: Thank you, Daniel. Good morning to all and thanks for participating in our second quarter earnings call. Before we begin, I would like to extend my sincere gratitude to all of our workers for their commitment to the company. Their continuous efforts and dedication has kept Copa at the forefront of Latin American aviation, to them as always, my highest regards and admiration. Today, we're pleased to report solid results for the second quarter. Our unit revenues continued to benefit from a healthy demand environment in the region. While our unit costs came in lower year-over-year mainly driven by a lower jet fuel price and our consistent focus on delivering low ex-fuel unit costs. Among the main highlights for the quarter, passenger traffic grew 15.4% compared to the same period in 2022, outpacing our capacity growth of 13.6%. This resulted in a load factor of 86.1%, a 1.3 percentage point increase versus Q2 '22. Passenger yields came in at $0.133 or 2% higher than the second quarter of 2022, resulting in unit revenues or RASM of $0.12, a 2.7% increase compared to the second quarter of 2022. Our unit cost decreased 17%, mostly as a result of a 35.9% year-over-year drop in our effective jet fuel prices. On an ex-fuel unit cost basis we came in at $0.059 almost 1% lower compared to Q2 2022. As a result, our operating margin came in at 24.1%, 18 percentage points higher than in the second quarter of 2022. On the operational front, Copa Airlines delivered an on-time performance of 91.6% and a completion factor of 99.8%, once again the highest in the Americas and one of the best in the World. Additionally, in July Copa Airlines was recognized by Skytrax for the eighth consecutive year as the best airline in Central America and the Caribbean. This award and our leading operational numbers are a testament to our employees' continuous focus on our customer satisfaction. With regards to our network, we recently announced the start of a new service to Barquisimeto, Venezuela, in October of this year. With this addition, we will serve 81 destinations in 32 countries in North, Central, South America, and the Caribbean, as we continue strengthening and solidifying our position as the most complete and convenient hub in Latin America. Turning now to Wingo. In June, Wingo continued to optimize its network with the start-up operations to three new domestic Colombia routes from Bogota to Barranquilla, Pereira, and Bucaramanga. Additionally, in July, it started service from Bogota to Caracas, Venezuela, and one seasonal route from Cali to Aruba, with these additions, Wingo is currently operating 35 routes with service to 23 cities in 11 countries. Now turning to our current expectations for the remainder of the year, we continue to see a healthy demand environment in the region going forward, and although we're seeing a recent increase in jet fuel prices, we continue to expect strong financial results in 2023. As always Jose will provide more detail regarding the full year's outlook. To summarize, we delivered solid second quarter results, and we continue to see a healthy demand environment in the region. We continue growing and strengthening our network, the most complete and convenient hub for intra-Latin America travel, Copa Airlines was recognized once again by Skytrax as the best airline in Central America and the Caribbean, and as always, our team continues to deliver world-leading operational results while maintaining our costs low. Lastly, we're as confident as ever in our business model. We continue to deliver solid margins and low unit cost while offering a great product for passengers, making us the best position airline in our region to consistently deliver industry-leading results. Now I will turn it over to Jose, who will go over our financial results in more detail.
Jose Montero: Thank you, Pedro. Good morning, everyone, thanks for being with us today. I'd like to join Pedro in acknowledging our great team for all their efforts to deliver a world-class service to our passengers. I will start by going over our second quarter results. We reported a net profit for the quarter of $17.5 million or $0.44 per share. However, excluding special items, net profit came in at $154.5 million or $3.92 per share. Second quarter special items are comprised of unrealized mark-to-market loss of $137.5 million related to the company's convertible notes and a $500,000 unrealized mark-to-market gain related to changes in the value of financial investments. We reported a quarterly operating profit of $194.7 million and an operating margin of 24.1%. Capacity came in at $6.8 billion available seat miles, 13.6% higher than in Q2 2022. Our load factor came in at 86.1% for the quarter, a 1.3 percentage point increase compared to the same period in 2022, while passenger yields increased 2% to $0.133. As a result, unit revenues came in at $0.12 or 2.7% higher than in the second quarter of 2022, mainly driven by lower jet fuel prices, unit costs or CASM decreased to $0.091 or 17% lower than our CASM in Q2 2022. And finally, our CASM excluding fuel came in at $0.059, a 0.8% decrease versus Q2 2022, mainly driven by lower sales and distribution costs due to a higher penetration of both direct sales and the lower-cost travel agency channels, which were launched by Copa Airlines in September of 2022. I'm going to spend some time now, discussing our balance sheet and liquidity. So at the end of Q2, we had assets of close to $5.1 billion and in terms of cash, short, and long-term investments, we ended the quarter with over $1.3 billion, which represents 39.6% of our last 12 months' revenues. As to our debt, we ended the quarter with $1.8 billion in debt and lease liabilities, it came in with an adjusted net debt to EBITDA ratio of 0.5 times. I'd also like to take some time to discuss the settlement of our convertible notes. As we announced last month, the company has decided to redeem the 4.5% convertible senior notes due in 2025 on September 18, 2023, in accordance with the terms established in the indenture governing the notes. The conversion rate has been established to be 20.1603 shares per each $1,000. This rate includes an additional 0.4751 shares related to the event being a make-whole fundamental change. We decided to perform the settlement via the net share method, whereby we will settle in cash, an amount equal to the principal amount of the notes, and the remainder is to be settled via the issuance of the corresponding number of shares. Turning now to our fleet, during the second quarter, we received two Boeing 737 MAX 9s, to end the quarter with a total of 101 aircraft. In July, we received an additional 737 MAX 9 to bring our total fleet to 102 aircraft. With these additions, our total fleet is now comprised of 68 737-800s, 25 737 MAX 9s, and nine 737-700s. These figures include one 737-800 freighter and the nine 737-800s operated by Wingo. Two-thirds of our fleet continues to be comprised of owned aircraft and one-third of our aircraft are under operating leases. During the remainder of 2023, we expect to receive five additional aircraft, all Boeing 737 MAX 9s, to end the year with a total fleet of 107 aircraft. As for our 2024 fleet plan, preliminarily next year we expect to receive 14 737 MAX aircraft, including two 737 MAX 9s, and 12 737 MAX 8s. We published an updated fleet plan on our Investor Relations website. I'm also pleased to announce that our Board of Directors has ratified the third dividend payment of the year of $0.82 per share to be paid on October 13 to all shareholders of record as of September 29. As to our outlook, we can provide the following guidance update for the full year 2023. We expect to increase our capacity in ASMs versus 2022 within a range of 12% to 13% and we expect an operating margin within the range of 22% to 24%. We're basing our outlook on the following assumptions, load factor of approximately 86%, unit revenues within a range of $0.123, CASM ex-fuel to be in the range of $0.06, and we're expecting an all-in fuel price of $2.95 per gallon. Given this recent increase in jet fuel prices, we expect to be on the lower side of the 22% to 24% operating margin range. I would also like to take this opportunity to assure you that we continue to be focused on our plan to further reduce our unit costs. Our objective is to attain a CASM ex-fuel within a range of $0.058 by the year 2025. Thank you, and with that, we'll open the call to some questions.
Operator: [Operator Instructions] Our first question comes from Savi Syth from Raymond James.
Savi Syth: Hi, good morning. Can I ask on the unit revenue, just - which was lower? Are you seeing any kind of softness to drive that reduction or is something else going on given that the second quarter came in pretty strong?
Jose Montero: Yes, Savi, how are you? The operating environment is still very robust. We had been seeing a drop in fuel prices throughout the second quarter and so there was some movement in our forward-looking unit revenues in the coming months. And your item, I think that of note that we're monitoring closely, is that there was an increase in competitive capacity year-over-year, in the double-digit range, so all those factors I think we're taking into account in terms of what the RASM was or is going to be in the second half of the year. Fuel spiked over the last couple of weeks, so that's not necessarily fully captured into our unit revenue guidance given the sort of movement of fuel and it's still somewhat early for Q4. So we'll monitor it closely, but that's how kind of we're seeing it in the close end.
Pedro Heilbron: And I should add, Savi, that bookings are still strong for the second half of the year as far as we can see, still a very robust environment.
Savi Syth: That's super helpful. If I might, on the 2024 fleet plan, it looks like even though you had some MAX flipping, you've taken the MAX count up? And just any early thoughts on how you're thinking about capacity growth into 2024, especially given that your utilization in 2023 is quite strong?
Pedro Heilbron: Right, so we're going to receive 14 aircraft next year. A few of those moved from this year, but it doesn't make a big difference because moving from December to January doesn't really have an impact in capacity. So you can do the math in terms, we're still not guiding for a capacity growth in 2024, but I think it's not hard to figure it out, given the 14 aircraft we're receiving next year. Most are going to be MAX 8, two are going to be MAX 9, and we see demand and we have opportunities for all of those airplanes to fly at our current utilization - daily utilization numbers.
Jose Montero: Yes, plus a full-year effect of the aircraft that are coming in, we still have five aircrafts left to be delivered this year, so those airplanes most of its - their growth is going to show up actually in 2024 as well. So I think there's - I think we're seeing still the environment - the operating environment in a very positive way.
Pedro Heilbron: Yes, so in terms of capacity, there should be very healthy growth next year.
Savi Syth: Helpful. Thank you.
Operator: Our next question comes from Duane Pfennigwerth from Evercore ISI.
Duane Pfennigwerth: Hi, thanks, good morning. On the convert buyback, can you just walk us through how your share count and interest expense are going to change following that buyback? And maybe talk about some of the reasoning behind why September makes sense to do that?
Pedro Heilbron: Yes, Duane, I'll start - I'll actually start with the second part, which is the reasoning. First of all, since April we've had the ability to call the convert and I think that our calculus is that at this time the economics of the deal worked out for us versus letting it mature. And then thirdly, I would say the Board when it made its decision, they simply - I think, they wanted to get the pandemic behind us and I think that also influence the decision even though, as I mentioned before, from an economic perspective and financial perspective, it made sense for us to execute the call at this time even with a make-whole affected, et cetera. I would say that the - in terms of the accounting-wise - first of all, we're electing to settle it via the net share method, whereby we will pay that principal in cash, $350 million in cash and the remainder in shares, that - ultimately the valuation of that will depend on a 40 day - 40 trading day observation period that ends in the second week in September. So that will ultimately determine what - ultimately what the number of issued shares that we would have coming out at that time, the day of the settlement. So that's still pending to be determined. And then finally, in terms of how it affects the interest expense, the interest expense will go down by two factors. Number one, of course, the coupon goes away, the 4.5% coupon on the $350 million, but in addition to that, there is a portion, I'll say, maybe it's about a $7 million per quarter figure that was a portion of our interest expense that was non-cash, that will basically go away during - after the settlement. So that's basically the way that it will work out.
Duane Pfennigwerth: That's really helpful. Is there any relationship between this step and what your dividend policy might look like into next year? Does this make it, I guess, more likely or less likely that you just continue your dividend policy into 2024 based on a look back to 2023 earnings?
Pedro Heilbron: No, I think our policy - our dividend policy as I just to restate it, it distributed 40% of the prior year's adjusted net income and I think that's - that will continue.
Jose Montero: Yes, so the conversion make no difference.
Duane Pfennigwerth: Okay, that's very clear. Thank you.
Pedro Heilbron: Thank you, Duane.
Operator: Our next question comes from Guilherme Mendes from JPMorgan.
Guilherme Mendes: Good morning, Pedro, Jose. Thanks for taking my question. I have two, one, it's on the capacity and demand. So if you could split a little bit between leisure, VFR and corporate, how you're seeing demand? And I recall, on the last conference call, you mentioned about the corporate is still not fully picking up. So how have you seen that during the second quarter and what are the expectations for the second part of the year? And the second question is.. sorry, Pedro, go ahead, and then I will ask...
Pedro Heilbron: Go ahead, go ahead. Second question.
Guilherme Mendes: Thanks. That question is regarding unit management. So you discussed about the unit revenue, just wanted to better understand how do you think about your ability to increase prices according to fuel prices, so how fast could you do that, I mean, according to competition and market trends? Thank you.
Pedro Heilbron: Yes, okay. So first question, business traffic, corporate traffic has improved somewhat in the last number of months. So the trend is positive, but the numbers are still not much different to what we have shared in the recent past, where about 40% is leisure and 30% is VFR, the rest is a combination - it's business but it's business and corporate, so some of the business we move in the region is not necessarily tied to corporate accounts. So that has - I mean it has improved somewhat but not in a significant way. The breakdown is similar to what I just mentioned, which hasn't changed much. However, leisure is behaving in a way that you can see our results, so - they manage strong and yields are healthy, so we're fine with the way we - traffic has developed. In terms of revenue management and pricing, so what we show - and I'll let Jose back me up, what we showed in 2022 was that we were able to cover the increase in jet fuel prices, but it didn't happen right away, it did not happen in the second quarter when jet fuel spiked up, it did happen in the second half of the year and this year we'll see.
Jose Montero: Yes, it's about a two to three-month delay. Now of course, our revenue management folks always are pricing to the maximum the market could bear, but usually it takes - there's a little bit of a lag between fuel spikes and when RM catches ups.
Guilherme Mendes: That's very clear. Thank you, Pedro and Jose.
Pedro Heilbron: Thanks a lot.
Operator: Our next question comes from Stephen Trent from Citi.
Stephen Trent: Good morning, gentlemen, and thanks very much for taking the time. Just two quick ones from me. The first, definitely appreciate the ex-fuel CASM guidance out to 2025 and what you're seeing for this year. Any high-level view to what extent Wingo could be - maybe a higher weighting of the operations relative to 2022.
Pedro Heilbron: We don't see that in the short term, maybe medium-term, not sure. Wingo, still a small part of our capacity and revenues. Colombia has been a challenging market for all airlines operating in that country. So I think - I don't think we're going to see a lot of growth from the Wingo segment.
Jose Montero: Well, we have flexibility to. I think part of our plan internally is to have a lot of flexibility in terms of how we put our capacity in the two brands, but yes, I think in general terms, more of the growth is going to come from the airlines side.
Stephen Trent: Appreciate that guys. And just one very quick second question, just a follow-up to Savi's question, when we think about the RASM and consider the amount of upgrades you're doing, was there any stage length adjusted noise and the pivot for 2023 RASM, just out of curiosity?
Jose Montero: I would say that there is - not that much, I mean there was - I mean, I would say a little bit, actually - I would say it's a tad, but it's not significant I would say, Stephen.
Stephen Trent: Okay. I appreciate - sorry.
Pedro Heilbron: And then what I would add just to the RASM question that we've received that, 2022 is a tough comp because it's spiked up, I mean RASM, it was - the trend wasn't - not 100% typical what we saw last year and after the pandemic, not all demand patterns have been exactly the same as they were before. It's getting back to something more similar to what we're used to. But last year in a way was a transitional year in capacity and demand in the whole thing, so the comps are a little bit more difficult in that sense, but I think what's important is that our bookings are still quite strong.
Stephen Trent: Okay, very helpful. Thanks very much, guys.
Jose Montero: Thanks a lot.
Operator: Our next question comes from Rogerio Araujo from Bank of America.
Rogerio Araujo: Hi, good morning, Pedro, Jose. Thanks for the opportunity, and congratulations for the results. A couple here, one is, just a clarification, so did you say that the whole fuel that is spiking the past couple of weeks is not fully included in the guidance, so how far would you be from the current oil price curve? And also on that matter, what does your guidance implies if you consider the current oil price curve, would you be in the range of 22 to 24? That's the first one.
Jose Montero: No, no. Thank you, yes, thank you for allowing me to clarify it. The fuel guidance that we have is essentially the curve today. What I tried to say is that the RASM given that the fuel has increased so quickly, the RASM itself has not been able - we have not been able to adjust the RASM from an RM perspective over the last couple of weeks. But the fuel as it is in that 2.95 as we're seeing the full year all in price for us for the entire 2023 with the latest curve that we have from earlier in the week.
Rogerio Araujo: Sounds great. Very clear. And my second question, if you could give us some information on which regions you see the strongest bookings, which are the weakest at this moment? Maybe always strong as you say, but can you kind of differ a little bit which one are you more excited about and which you are not?
Pedro Heilbron: No, like usual, there's always - there's always a region that might be weaker and they take turns, is not always the same, but across the board is very similar right now.
Rogerio Araujo: All good, thank you very much.
Jose Montero: Thank you, Araujo.
Operator: Our next question comes from Michael Linenberg from Barclays (sic) [Deutsche Bank].
Michael Linenberg: Hi, it's Mike from Deutsche Bank.
Operator: I'm very sorry.
Michael Linenberg: Not a problem. That was news to me, too. I'm like, wow, I mean, everyone around here looks like DB, but anyway I guess two here, I think.
Pedro Heilbron: You should have known right?
Michael Linenberg: I'm always the last to find out about these things. So anyway, the - on your commentary, Pedro, just about around unit revenue, you talked about an increase in competitive capacity, something along the lines of double-digit range, are you maybe more specifically, is that capacity in and out of Panama City or is that what you're seeing in some of the markets where you participate in the connecting flows?
Pedro Heilbron: Right. So, yes, so first what I'll say is that, what has happened is that - I would say the rest - our peers in Latin America have caught up to the pre-pandemic capacity. It took them a little bit longer for different reasons, but everybody has caught up now. No, this is not Panama capacity. There is really no significant change or no change at all, maybe to only Panama capacity. But as we know - as you know, we play in the connecting field and so this has to be just with other hubs and also direct non-hub capacity in the region.
Michael Linenberg: Okay. And then, just - just kind of update us when you look at your split today local versus connect, are you sort of 40:60, 45:55? I always knew that it was pretty not evenly split, but where are you from a local versus connect basis today?
Pedro Heilbron: Yes. We're more in the 70:30 range.
Jose Montero: 70 connect and 30 local.
Michael Linenberg: Okay, okay, that's super helpful. And then, just my last question, after the convert gets taken out your liquidity will come down and the question is, what - like when you think about target liquidity, how should we think about it, maybe as a percent of LTM revenue, maybe how that fact factors into your leverage ratio of 0.5? What metrics should we sort of think about in the longer term, both from a liquidity perspective, what's the appropriate amount post-pandemic and where we should target from a leverage perspective? Thanks for taking my questions.
Jose Montero: Yes, Mike, I think, well, first of all, I think the leverage will essentially be the same after the settlement, and so I think we're comfortable in the sort of very strong position that we have. Mind you, we have a set of investments coming along, a lot of aircraft coming, and there's demand capital and so we are - we have some commitments coming forward and that will be useful growth basically, right? And then, we have our dividend policy, which is still very active, but in terms of total liquidity, we could end the year in and around $1 billion, so that's I think something where we're comfortable with that level for the size of the business and given all the commitments that we have going forward in terms of aircraft coming our way.
Michael Linenberg: Okay, very good. Thank you.
Pedro Heilbron: Thank you, Mike.
Operator: Okay, our next question comes from Pablo Monsivais from Barclays.
Pablo Monsivais: Hi, Pedro and Jose. Thanks for taking my questions.
Daniel Tapia: Okay, so Pablo from - okay, from Barclays. yes, so they swapped the firms, Pablo, so right.
Pablo Monsivais: Okay. Just a question on the comment that you just said about leisure passengers being very strong, to what extent do you attribute these strength to local currencies appreciating over the first half? And can we just extrapolate that the strong local currencies to strong leisure or there are another fundamental changes in the patterns of demand? Thank you.
Jose Montero: Yes, Pablo, I would say - I will start by saying that it's been an interesting mix in terms of our leisure travel dynamic. First of all, there was a lot of US origin - historically, of course, we've been more anything bringing people from South America to the Caribbean and to North America that sort of reversed a little bit after the pandemic with the strength of the U.S. dollar and now you're seeing more Americans coming south, that - but with the recent sort of strength of the real and the Colombian peso then you're seeing some of that flow reversing a little bit again. So, there's - now that we're kind of in a flux sort of moment where there is a little bit of everything into the mix of our leisure travelers, which is I think very, very good in terms of the sources that we have for demand.
Pablo Monsivais: Okay, thank you.
Operator: Our next question comes from Helane Becker from TD Cowen.
Helane Becker: Thanks very much, operator. Hi team, hope all is well. So one question I have is in terms of connecting traffic and kind of a combination of traffic and freight. With the Mexican government forcing Airlines to move from one airport to another airport with cargo, I'm wondering if that creates an opportunity for some of the other airlines that connect freight to shift their capacity from Mexico City to Panama City, where you would potentially be a beneficiary of that.
Pedro Heilbron: Yes, we have not seen any signs of movement in that direction and that's something that we've given a lot of thought to. Our freight capacity is also limited. Limited to the belly of our cargo - of our passenger aircraft, which is limited, and our single 737 freighter. So we don't think we will see any benefit from that if it was to happen.
Helane Becker: Okay, that's very helpful. And then, I just have one clarification, Jose, on the fleet plan. I think you said you were going to end this year with 107 aircraft or is it...?
Jose Montero: Yes.
Helane Becker: Right, okay. And then, next year based on the delivery schedule of 14, that means, well, 121 aircraft for next year?
Jose Montero: Yes, Helane, we still have a set of aircraft that are under lease that are - some of them could be extended, so our plan right now is that there will be a lease airplane that will be returning, so our expectation as of today is that we could end the year 2024 with 120 airplanes in total. So it will be 14 deliveries minus one lease return.
Helane Becker: Got it. And - could there be any other lease returns?
Jose Montero: No, at this time, I think it could be just this one.
Helane Becker: Okay. All right. That's very helpful.
Pedro Heilbron: And we could renew - we could renew it also.
Jose Montero: Yes, yes, that's what I'm saying, our view as of today is that, but it could - we're still - we're still relatively flexible in that.
Helane Becker: Okay. All right. Well, that's really helpful. Thank you.
Pedro Heilbron: Thanks.
Operator: Our next question comes from Daniel McKenzie from Seaport Global.
Daniel McKenzie: Hi, good morning. Thanks, guys. Couple of questions on 2024, following up on Wingo, I know you're not planning to grow it much, but how many aircraft are you planning for the entity next year? It looks like it's about 16% of the seats today and my thought is that Wingo as a percent of the overall system could trend down as you grow the mainline.
Pedro Heilbron: Well, they are operating nine aircraft. Right now, at the end of the year will be nine out of 107. And it's not that that number could not grow next year, it could, we have flexibility as Jose mentioned, but they could also stay at nine, it really depends on how the Colombian market develops and what are the opportunities there. But most of the growth will continue being from Copa Airlines. So, yes, their share of the total will come down under that premise, which is what will most likely happen.
Daniel McKenzie: Second question here, for those of us that don't know all the smaller markets in Latin America, I'm wondering you just elaborate a little bit on the growth next year. So just some high-level thoughts on mix, growth in existing markets versus new markets, long-haul versus short-haul, whatever you can share would be great.
Pedro Heilbron: Yes, so it's going to be a combination, well, it's going to be mostly new frequencies, additional frequencies to currently served markets, and we should also keep in mind that in the last two years, we've started like eight or nine new routes in the region and some of those will get more capacity again plus the market we've been operating from before, so a lot is going to be - most of it is going to be new frequencies plus the full year effect of what we started this year will also impact capacity growth next year. And we still believe we'll probably open a few, two - between two and four new destinations and there's still a lot of opportunity in the whole continent in the Americas and we're always evaluating new markets. We also have nine cities from pre-pandemic where we have not restarted service, so we also have that. So we will be restarting service to some of the cities that we still haven't gone back to from pre-pandemic. So we have that, we have new destinations, and mostly additional frequencies to currently served markets, so lots of opportunities as we see it.
Daniel McKenzie: Yes, good, terrific. Thanks, Pedro.
Pedro Heilbron: Thanks.
Operator: And our final question comes from Duane Pfennigwerth from Evercore ISI.
Duane Pfennigwerth: Hi, thanks for taking the follow-up. I appreciate it. I just wanted to ask you about kind of this relationship between fuel prices and fares and what you see competitively. I mean the timing may have been a little bit off here, but as I remember back in the day, you had a tremendous ability to offset higher fuel and there was a fair bit of fuel surcharge in the mechanism for your competitive fares, could you just touch on or remind us the fuel surcharge mechanism and if the same is true today relative to the past? Thanks.
Pedro Heilbron: Yes, so we no longer do fuel surcharges as such, and we are not in a fuel environment or a fuel price environment like we were back in 2007 if I can recall when fuel surcharges were necessary, but we have price - the fuel increases in the past successfully that goes into fair, not in a fuel surcharge, that's what happened in 2022 during - especially during the second half of '22. And we'll see where fuel goes right now and then we'll try to price it in as much as we can, it depends on competitors also and what they do, of course, we're always very competitive. There is more capacity than there was in 2022. As I mentioned before, capacity is pretty much back to pre-pandemic levels for all airlines, so that might play into all of this. So that's why in the guidance - in the detail of the guidance. Jose shared, we're not getting ahead of ourselves and it's kind of how we see it right now, but we always try to do better of course.
Duane Pfennigwerth: Yes. Okay, thanks for the thoughts.
Pedro Heilbron: Thank you, Duane.
Operator: I'd like to turn the conference back to Pedro Heilbron for closing remarks.
Pedro Heilbron: Okay. Thank you. So thank you all. This concludes our second quarter earnings call. Thanks for participating and as always thanks for your continued support. Have a great day. And we'll see you in the next one. Thank you.
Operator: Ladies and gentlemen, thank you for your participation. This concludes the presentation. You may now disconnect and have a wonderful day.